Masahisa Takahashi : Thank you for waiting. We will now begin the online conference call on financial highlights for the fiscal year ended March 31, 2023, of Mitsubishi UFJ Financial Group. I am Takahashi from Investor Relations Office, Financial Planning division and will serve as the moderator today. Tetsuya Yonehana, Senior Managing Corporate Executive and Group CFO, will give a 15-minute presentation on the financial highlights followed by a Q&A session. The entire session is scheduled to be about 50 minutes. Before we begin, let me read the disclaimer. In this presentation, we may state forward-looking statements based on current expectations, all of which are subject to risks and uncertainties. Please be aware that actual results may differ materially from those forecasts. We will now begin the financial results briefing. Mr. Yonehana, please begin.
Tetsuya Yonehana : I am Yonehana. Thank you very much for joining us today at this late hour for MUFG's online conference call. Please look at the material titled Financial Highlights under JGAAP for the Fiscal Year Ended March 31, 2023. First, let me explain our financial results for FY '22, followed by our performance targets and shareholder return policy for FY '23. Please skip to Page 7. I will start with the income statement summary. As shown in line 17 on the left table, profits attributable to owners of parent was ¥1.1164 trillion, roughly flat year-on-year, achieving the performance target of ¥1 trillion and the second highest after FY '21, which was the highest profit ever. As a result, ROE was 7.03% as shown in line 19. Regarding the breakdown of the financial results, Line 1, gross profit was an increase of ¥539 billion year-on-year. Line 2 and below is the breakdown of gross profits, which shows a large year-on-year increase or decrease, depending on the item. This is a result of the treasury business using ¥555.7 billion in gains on cancellation of their fund and gains on derivative hedging to rebalance the portfolio centering on foreign bonds. Gains on cancellation of the bear fund is included in Line 2, net interest income and the losses on the sale of foreign bonds is included in Line 5, net gains or losses on debt securities. Although it is difficult to see the actual increase or decrease due to these factors, the drivers of the increase in gross profits are an increase of overseas interest income of loans and deposits due to global interest rate hikes and improvement of lending spread, an increase in foreign exchange and trading income by capturing market fluctuations, and an increase in foreign loan-related fees. Next, Line 6, G&A expenses increased by ¥161.4 billion year-on-year, but decreased by around ¥30 billion in real terms excluding the impact of foreign exchange and the sale of Union Bank or MUB. Line 20, expense ratio was 64.5%, a significant improvement of 4.7 percentage points year-on-year, thanks to expense controls and a significant increase in gross profits. As a result, Line 7, NOP was ¥1.5942 trillion, up by ¥377.5 billion, recovering to the level prior to the introduction of negative interest rates. Next, Line 8, total credit costs increased by ¥343.4 billion year-on-year mainly due to ¥393.9 billion valuation losses on loans held by MUB, resulting from the accounting treatment associated with the decision to sell MUB. However, the valuation losses were reversed as part of extraordinary gains. So in real terms, after adjusting for this effect, credit costs decreased by ¥50.5 billion year-on-year. Line 13, other nonrecurring gains or losses after adjusting for the amount of valuation losses of bonds held by MUB that were reversed as extraordinary gains due to the same accounting treatment as credit costs, expenses increased by ¥149.5 billion year-on-year due to a portion of the valuation losses of bonds held by MUB and the impact of onetime expenses related to the sale of MUB. Finally, Line 15, net extraordinary gains or losses increased by ¥596.9 billion mainly due to ¥699.5 billion gain on sale of MUB shares, including the reversal of valuation losses related to MUB share transfer, which was recorded in the item up to ordinary income. However, most of the increase was due to shifts between accounts. So excluding this factor, the decrease was ¥138 billion year-on-year due to onetime expenses associated with the implementation of structural reforms. As a result, Line 17, profits attributable to owners of parent was ¥1.1164 trillion, a decrease of ¥14.3 billion. FY '22 financial results are difficult to understand because of the shifts between accounts due to the sale of MUB, but in a nutshell, NOP, which is a profit from the core business, increased significantly while we pursued the disposal of valuation losses on foreign bonds. This offset onetime costs and losses associated with the sale of MUB as well as onetime costs associated with structural reforms. Therefore, profits attributable to owners of parent was on par with the record-high income in FY '21 while achieving for the second straight year the goal of stable profit of ¥1 trillion or more set forth in the medium-term business plan. Please turn to Page 8. The lower-left graph shows year-on-year changes in NOP by business segment. In customer segments, profits in AM/IS decreased slightly due to the absence of large performance fees we had in FY '21, but other business groups enjoyed a profit increase, including higher net interest income from loans and deposits and foreign exchange-related income, resulting in a significant increase of ¥443.1 billion in total customer segments. In addition, Global Markets business group made progress in recording loss on sale of foreign bonds. But on the other hand, sales and trading revenues from foreign exchange and interest rates grew substantially, which curbed the decline in profit. Please turn to Page 9. The right side shows the changes in net income by business segment. In addition to AM/IS and Global Markets with lower NOP, GCB business group posted a decrease in net income due to the absence of reversal of credit costs in MUAH we had in FY '21. While the other business groups, DS, R&C, JCIB and GCIB recorded an increase in net income, thanks to higher NOP and customer segments as a whole reported an increase of ¥120.1 billion. Please skip to Page 11, which shows the balance sheet summary. On the left table, Line 2 and below, loans show an increase of ¥1.3 trillion in domestic corporate loans and decrease of ¥1.8 trillion in overseas loans from the end of March '22. Overseas loan decreased due to a ¥7.5 trillion decrease from the sale of MUB, but was an increase excluding this factor. Also, in deposits, Line 12 and below, while both domestic individual and corporate deposits increased, overseas deposits decreased. This was also due to the approximately ¥12 trillion decrease in deposits resulting from the sale of MUB. And excluding this effect, overseas deposits increased. Page 12 shows the status of domestic loans. The lower-right graph shows a trend of the domestic corporate lending spread. The red-dotted line shows the lending spread of large corporates, which is continuing to show trends of improvement. The orange line shows a lending spread of small- and medium-sized enterprises, showing a gradual improvement with the bottoming out, except for the effect of the timing of recording of interest income on interest subsidy system. The next page, Page 13, shows the status of overseas loans. The bottom line in the upper-right graph shows the differences in yield between lending rate and deposit rate of nonconsolidated, that is the Bank and the Trust Bank combined, which has shown a slight decline with higher interest rate but is steadily expanding from the previous year. The bottom-right graph shows the trend of the overseas lending spread. The lending spread has been steadily improving as a result of our efforts to improve profitability. Please proceed to the next page, Page 14, showing the status of loan assets. The balance of nonperforming loans are shown as a line graph on the left, increased slightly from the end of the previous fiscal year. However, the NPL ratio indicated by the dotted line is still at a low level. On Page 15 is the status of investment securities, such as equity securities and government bonds. Although unrealized gains shown in the upper-left table decreased from the end of the previous fiscal year partly due to rising interest rates overseas, the total unrealized gains on available-for-sale securities amounted to ¥1.4 trillion. Of this amount, the unrealized loss on foreign bonds as of the end of March, the seventh line, is approximately ¥1.1 trillion. But as shown in the upper-right graph, the valuation loss on the actual basis, taking into account valuation gains from hedging positions, was approximately ¥0.7 trillion, improving from the peak at the end of September 2022. Page 16 shows the status of capital adequacy. The CET1 ratio excluding unrealized gains on a finalized Basel III reform basis was 10.3%, which exceeded the upper limit of the target range of 10% in the medium-term business plan with the ratio continuing to be adequate from the viewpoint of soundness. That is all for the explanation of the financial results. Please turn back to Page 2. Next, I would like to explain our performance targets for fiscal year '23. In February '23, the final year of our medium-term business plan, we have set a target of ¥1.3 trillion, the highest ever for profits attributable to owners of parent. Although we expect a decrease in profit due to the absence of net operating profit from Union Bank and the appreciation of the Japanese yen, we expect to see accumulation of net operating profit in the customer segments and start to achieve ROE of 7.5%, the financial target of the medium-term business plan. The business environment will continue to be difficult due to rising interest rates in the U.S. and Europe and concern that the bankruptcies of some overseas financial institutions will have a ripple effect on the real economy. However, we have been able to build a strong business model both in Japan and overseas through the structural reforms we have undertaken to date. We believe that we can meet the needs of various customers on a group-wide basis, including our partner banks in Asia and Morgan Stanley. In FY '23, as a final stage of the current medium-term business plan, we will work to ensure that the effects of the measures we have taken are linked to results that we achieve our goals at all costs. Please turn to the next page. This is the progress of the 3 drivers for achieving ROE target, namely profits, expenses and risk-weighted assets. In terms of profit at the top, net operating profits in the customer segments increased significantly by ¥443.1 billion as a result of our efforts in line with our growth strategy showing that the earning power is steadily improving. Profits attributable to owners of parent also remained steady, exceeding ¥1 trillion 2 years in a row. We are also able to confirm that control of expenses was done and RWA shown in the lower section, and we are feeling a certain level of responses in the respect. Please turn to Page 4. First, the ROE target and capital management target in the upper left-hand corner. Although ROE for fiscal year '22 was 7.03% down from the previous year, we are making steady progress toward achieving the target of 7.5% for the final year of the medium-term business plan. The common equity Tier 1 ratio was 10.3%, which is above the target range. However, with the recent bankruptcies of overseas financial institutions, we believe it is necessary to assess the impact on the real economy as well as the effect on the regulatory environment. We believe that we are at a point in our business where we need to manage our capital comfortably. Next, regarding shareholder returns shown in the upper-right corner, we consider the enhancement of shareholder returns to be an important management issue for MUFG. And there are policies to strive to enhance shareholder returns based on dividends while considering the optimal balance between capital soundness and investment focus. Based on this policy, in FY '22, we increased the annual dividend per share by ¥4 in addition to a share buyback of ¥450 billion, the largest ever. In FY '23, in order to realize a dividend payout ratio of 40% set forth in our medium-term business plan, we forecast an annual dividend of ¥41 per share, an increase of ¥9 share, the largest increase in our history. Lastly, regarding the initiatives to enhance shareholder value in the lower part of the slide, through initiatives, including pursuance of growth strategies, structural reforms and capital management, as outlined in the medium-term business plan, achieving medium- and long-term increases in ROE, we will link this to increasing shareholder value continuously. That is all. Thank you.
A - Masahisa Takahashi: Thank you. We will now take questions for the remaining 35 minutes. [Operator Instructions] So first questioner, Mr. Takamiya, please.
Ken Takamiya: I am Takamiya from Nomura Securities. I have 2 questions, please. First, I would like to know your views on the level of capital and the share buyback; and second, about your thoughts on the level of underlying profit growth for FY '23. Please explain in more detail why you have decided not to repurchase shares even though your CET1 ratio is above 10%, the target range. You mentioned bankruptcies of overseas financial institutions, et cetera. If you plan to assess the impact on the real economy, what kind of time frame do you envision for that? Including U.S. monetary policy, we may have to ascertain the situation for 6 to 12 months. Looking back over the past several years, there was hardly any moment when the environment surrounding banks was clear. Which points are you particularly concerned about? And how long do you think it will take given the current circumstances? On that basis, what are your current thoughts on the CET1 ratio and share repurchases? That is my first question. Second question, could you clarify how much increase in underlying profit is expected in FY '23, excluding various special factors? In FY '23, NOP target after adjusting for MUB valuation losses is a decrease of ¥140 billion. But considering the impact of the strong yen and the absence of NOP from MUB, I think we can expect an NOP increase of about ¥100 billion on an actual basis. If we assume that the net gains on equity securities will decrease and that credit costs will increase by about ¥20 billion, am I correct to project that ordinary profit in real terms will increase by about ¥50 billion to ¥60 billion year-on-year on pretax basis? Should we also consider gains from investment trust cancellations, et cetera? Could you please clarify your view on the increase in underlying profit, please?
Tetsuya Yonehana: Mr. Takamiya, thank you for your question. Let me explain the relationship between our capital level and the fact that we decided not to do share buyback this time. Regarding share buyback, looking back on the recent past, after the second quarter of FY '22, we resolved to repurchase ¥150 billion of our own shares by taking advantage of the capital release effect of the MUB sale. At that point, we decided to forgo the regular portion of the repurchase, taking into account the uncertainty of the environment and the volatility of the financial markets. Therefore, while we recognize that investors' expectations for share buybacks were high for the financial results briefing this time and while we believe that the uncertainty we talked about back then is gradually clearing up, the financial instability that began in March, including the bankruptcy or bailout of overseas financial institutions, has become apparent at this moment. Therefore, we decided that we need to ascertain the situation. In order to fulfill our financial intermediary function as a responsible financial institution, it is necessary at this point to maintain a capital buffer, which is why we achieved CET1 ratio of 10.3% and still decided to forgo share buyback. As for the time line going forward, as you just mentioned, the environment surrounding financial institutions will stay foggy for some time to come. We made this decision because the timing is right after the recent collapse of overseas financial institutions, and we want to see how it will affect the economy and regulations in the future. You said that it may take some time to determine the impact on the real economy, but I think we can make a better judgment after some time has passed. Our next decision on share repurchases is expected to be at the second quarter results briefing of this fiscal year. This is my response to your first question. On the second point, the underlying profit increase for FY '23 is roughly in line with what you just explained. If I may elaborate a little, our NOP target is forecasted to decline by ¥140 billion year-on-year, which includes a total negative impact of ¥250 billion, comprising ¥120 billion from the sale of MUB and ¥130 billion from the appreciation of the yen. On the other hand, we plan to offset the majority of the negative ¥120 billion in NOP from the sale of MUB by ¥110 billion mainly in the customer segments. Therefore, excluding the impact of foreign exchange and the sale of MUB, we plan to increase NOP by ¥110 billion. We expect to see some items posting losses of several billions of yen, such as credit costs and other items down to ordinary profits, but we do not expect any major extraordinary gains or losses in other areas. So that is our structure for the net income target of ¥1.3 trillion. So broadly speaking, the impact of the sale of MUB and restructuring costs in FY '22 will disappear. And the plan is to offset the negative impact from the foreign exchange and the sale of MUB by the increase in NOP to reach ¥1.3 trillion. This ¥1.3 trillion would be ¥1.24 trillion on a normalized basis, excluding the ¥60 billion impact from the change in the equity method accounting date for Morgan Stanley from FY '23 as a onetime factor.
Masahisa Takahashi: We will now move on to the second person. Mr. Yano, please?
Takahiro Yano: I am Yano from JPMorgan Securities. I have 2 questions. First, in the area of overseas credit quality, concerns about CRE, commercial real estate, have been spreading, especially in the U.S. I would like to ask if you have any update on MUFG's exposure to overseas CRE and the current credit situation. This is my first question. Second question is about your view on the dividend payout ratio for FY '23. With the dividend forecast of ¥41 against a net income target of ¥1.3 trillion, your 40% dividend payout ratio target in the MTBP will not be reached. How should we think about this?
Tetsuya Yonehana: Thank you, Mr. Yano. Regarding overseas credit, especially U.S. CRE, I do not have the figures at hand, but I believe that the exposure to U.S. CRE is not large, and the impact on credit costs and other expenses is extremely limited. As for the second question, on the dividend payout ratio of 40%, if we simply do the math between ¥1.3 trillion and ¥41, the dividend payout ratio would be about 38%, as you rightly said. But as I mentioned in Mr. Takamiya's question earlier, ¥1.3 trillion net income target factors in the approximately ¥60 billion by including 15 months' worth of earnings of Morgan Stanley estimated based on the results for the January-March quarter due to the change in the equity method accounting date. This brings the target to ¥1.24 trillion on a normalized basis based on which our dividend forecast of ¥41 represents a dividend payout ratio of 40%.
Takahiro Yano: I understand well. Sorry for the basic question.
Masahisa Takahashi : Now the third questioner, Mr. Nakamura, please?
Shinichiro Nakamura: I am Nakamura from BofA Securities. I have 2 questions. The first one overlaps with Mr. Yano's question. I understand that you adjusted Morgan Stanley's ¥60 billion for its 15-month earnings, but I think the market expects a 40% dividend payout ratio on net income. Is 40% the highest you can get adjusted for Morgan Stanley? Or is there a possibility of a further increase in dividend? That's my first question. My second question is, in projecting the CET1 ratio, my own calculations assumed a ratio of about 10.6%, but it was 10.3%. What is the reason for the 30-basis point shortfall?
Tetsuya Yonehana: Thank you for the question. It depends on how you think about dividends. But the basic idea is that dividends are based on normalized earnings, excluding special factors. So if we take in 15 months of Morgan Stanley's earnings as a special case, 3 months of that is outside of the normalized portion and will decline by that amount in FY '24 and beyond. Therefore, we decided to use this dividend forecast as we believe it is appropriate to consider the dividend payout ratio based on the profit excluding the ¥60 billion increase due to the change in the equity method accounting date, which is a one-off special factor. As a reminder, we intend to achieve the ROE target of 7.5% based on the normalized net income of ¥1.24 trillion excluding ¥60 billion as opposed to ¥1.3 trillion. Regarding your second question, that CET1 ratio should be in the mid-10% range or even a little higher at the end of the first half. The main reason for the change from the interim projection is due to foreign currency translation adjustments. Does this answer your question?
Shinichiro Nakamura: I understand.
Masahisa Takahashi: Next, Mr. Matsuno, please?
Maoki Matsuno: Yes, this is Matsuno from Mizuho Securities. I would like to ask 2 questions. My first question is on ROE and capital policy. As for the denominator of the ROE, foreign currency translation adjustments will be reflected. So I would like to know the FX assumption for the current fiscal year, which I believe is projecting yen appreciation, which, in turn, will decrease the FX translation of the denominator. Is it correct to assume that the planned 7.5% takes into account share buyback to a certain extent? My second question is on the change of the equity method accounting date from Morgan Stanley on the consolidated PL. What led to this decision? And in which upcoming quarters will this take change effect be resolved? Should we expect this kind of change of a date for other overseas subsidiaries going forward as well?
Tetsuya Yonehana: Thank you very much for your question. As for the relationship between ROE and capital policy, the FX assumption at the end of the previous fiscal year was set in the low 120s to the U.S. dollar. And the FX translation of the denominator will decrease accordingly. But on the other hand, the profit of the numerator, as explained earlier, will show the negative effect coming from yen appreciation, as I answered towards Takamiya's question earlier. To add for your reference, we have conducted simulation between foreign exchange and ROE. And if we see swings toward yen depreciation, say, by ¥1, the ROE will be flat or slightly increased by maybe plus 2 when we look at the denominator and the numerator with ROE turning negative with the yen appreciation. So the foreign exchange assumption is set at low 120s, but if it does not appreciate by that much, it will have a favorable effect on the ROE. After whether we incorporate share buyback in the ROE target of 7.5%, in order to achieve this target, of course, profit plan and capital management is very important. And in formulating the capital policy plan, we have conducted various simulations, such as what if it was 0 or a few hundred billion yen. And as a result, we came up with a target of 7.5%. Even if we do not buy back own shares, we will aim for 7.5%. But that does not mean that we will not consider share buyback because of this. We will surely achieve the planned ROE. And undoubtedly, looking at the current stock price, the share buyback is an effective measure of utilization of capital. So it is linked to ROE, but ROE realization and share buyback will be considered separately as we aim to achieve our targets. Next on completion of Morgan Stanley's accounting date changes and its impact. At MUFG, we recognize timely disclosure of financial information to be an issue. Accounting day change of overseas subsidiary is acceptable under the Japanese standards by 3 months. But having said that, the significant event, for example, the recent credit costs related CECL, and such information have been disclosed early and widely on our part. But looking at the recent situation, for the fiscal year just ended, that is fiscal year '22, the ratio of the net income for the year of the overseas subsidiaries came to less than 50% with Morgan Stanley impact being large, followed by Krungsri or KS. So with ratio of overseas subsidiaries being high, if there are no changes in the accounting date, that will be preferable. Its significance, its involvement of subsidiaries and which subsidiaries should be targeted and feasibility impact, these are all considered and we have continued to improve resolving this accounting date impact. With Morgan Stanley, the first of such attempts this fiscal year, considering significance of the amount and its high visibility in comparison to consolidated subsidiaries as it is accounted for by the equity method, we implemented the change of accounting date for Morgan Stanley and the sale of MUB last year. The impact of these 2 subsidiaries disappear, and the ratio of subsidiaries out of the net income will decrease to approximately 20%. So the question is how about the remaining overseas subsidiaries. As I mentioned earlier, we will confirm their significance and feasibility, especially focusing on Krungsri and BDI or Bank Danamon, and we will basically look at them as targets. We will continue to cooperate with such subsidiaries. And as for the 2 subsidiaries I just mentioned, the discussion is ongoing as to when this should be resolved, but it is too early to share any concrete information as of now.
Maoki Matsuno: In which quarter will the Morgan Stanley accounting day change impact be resolved?
Tetsuya Yonehana: I'm sorry, I forgot to answer your question. In the first quarter of MUFG, we will account for the 2 quarters of Morgan Stanley. That is the first and the second quarters.
Masahisa Takahashi: Next, Mr. Takai, please?
Akira Takai : This is Takai from Daiwa Securities. I'd like to ask 2 questions. First, on the gain on sales of subsidiary in the amount of ¥415.1 billion is recorded as extraordinary income for the bank on a nonconsolidated basis. Please share details of this income. Is it correct that the bank's bottom line is increased by ¥415.1 billion on a nonconsolidated basis? It is natural for this to be offset on a consolidated basis, but due to, for example, tax effect, is there some kind of impact coming from this transaction? And my second question may be redundant. But at the end of the current fiscal year, the CET1 ratio target is set at 9.5% to 10%. Will this be achieved organically even without share buyback? What if risk-weighted assets increase significantly? I would appreciate your comment.
Tetsuya Yonehana: May I confirm your second question, please?
Akira Takai: Yes. My second question was, the CET1 ratio is shown with a target of 9.5% to 10% for fiscal year '23. Does this take into account share buyback is the question. Or is it just considering risk-weighted average? Would you give this number?
Tetsuya Yonehana: As for your first question regarding the external income for the bank, on a nonconsolidated basis of ¥415.1 billion, this was canceled in the previous year. So the question is what this is? So this is a gain on sale of the bank, selling shares to MUAH in response to MUAH's share buyback. After the sale of MUB, the asset was counted in MUAH, and therefore, the capital asset was to return to the parent that is a bank in the form of share buyback. So that is the essence of this trade. Therefore, for the bank, because of the difference from the book value, gain on sales is recorded. But on a consolidated basis, it is canceled because it is a trade with the parent. And the tax effect is minimal vis-à-vis the consolidated statement of MUFG. So on the nonconsolidated basis, this ¥415.1 billion is recognized. Yes, it is correct to think that it is recognized almost fully. But on a consolidated basis, it is not recognized. No, it is not. And as for your second question, I think you are referring to the top-left graph on Page 4, which may be misleading. This is showing the target range of the CET1 ratio of the medium-term business plan. So it is not as if we are targeting it to fall between 9.5% to 10%. So we do not intend to increase, for example, RWA to control this figure. Actually, I was looking at Page 2. No, I'm sure it is the same with Page 2.
Masahisa Takahashi : Next, Mr. Niwa, please?
Koichi Niwa: This is Niwa speaking from Citi. I have 2 questions. Moving away from the financial results, my question is regarding M&A and share buyback. The final investment decision integrals came to ¥200 billion in fiscal year 2022. Was this as expected at the beginning of the fiscal year? So -- and maybe I'm looking at a short span in time, but how much of profit contribution can we expect this to bring in the current fiscal year? How much investment into growth are you projecting this fiscal year? You mentioned the decision regarding share buyback will be made in the midyear, which is going to be about 6 months away. I mean, why wait 6 months, it's my question. Are you incorporating that the environment will deteriorate? I mean to be agile; I believe consideration may be made more earlier.
Tetsuya Yonehana: Thank you very much for your question. As shown on Page 5, for example, as you can see on the left, including home credit, investment totaling approximately ¥200 billion has been decided. At the beginning of fiscal year '22, we did not specify investment into growth. But as the year went by and opportunity arose, we looked at the profitability and capital status to make the required decisions. Therefore, as for the current fiscal year, how much of the internal reserves will be put to growth investments? We do not put a concrete number to as of now. Home credit and Akulaku and DMI finance, for example, these acquisitions were decided in the previous fiscal year with execution of the investments still pending. As for the profit contribution in FY '23, we may expect home credit to contribute to profit partially through KS, which I mentioned earlier. And that will be through customer segments. Operating net income will be increased by ¥110 billion, including higher profit from KS. And within this increase of ¥20 billion, profit contribution from inorganic strategies of KS, such as Home Credit, Capital Nomura Securities and [nonbank] in Vietnam, SHB Finance, may be realized. And regarding share buyback, we said that the decision will be made midpoint of the year as a reference to the timing. The share buyback will be conducted in an agile manner because of its nature. So midyear was just a reference time point for your information.
Masahisa Takahashi : We have a few minutes remaining, so we would like to have Yonehana give you some closing remarks.
Tetsuya Yonehana : Thank you very much for your valuable questions today. Today, I explained our achievements in fiscal year 2022. With continued focus on dialogue with our shareholders and investors, we will pursue financial and capital management aimed at sustainable enhancement of shareholder value. I would like to ask for your continued understanding and support. Thank you very much for your kind attention today.
Masahisa Takahashi: So with that, we will end this conference. On the company web page, this conference can be seen as an archive. With that, MUFG, the financial results conference will come to a close. Thank you very much for your participation today.